Operator: Good morning, everyone, and welcome to Lowe's Companies First Quarter 2014 Earnings Conference Call. This call is being recorded. [Operator Instructions] Also, supplemental reference slides are available on Lowe's Investor Relations website within the investor packet. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call.
 During this call, management will be using certain non-GAAP financial measures. The supplemental reference slides include information about these measures and a reconciliation to the most directly comparable GAAP financial measures. 
 Statements made during this call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.
 Management's expectations and opinions reflected in those statements are subject to risks, and the company can give no assurance that they will prove to be correct. Those risks are described in the company's earnings release and in its filings with the Securities and Exchange Commission.
 Hosting today's conference will be Mr. Robert Niblock, Chairman, President and Chief Executive Officer; Mr. Mike Jones, Chief Customer Officer; and Mr. Bob Hull, Chief Financial Officer.
 I will now turn the program over to Mr. Niblock for opening remarks. Please go ahead, sir. 
Robert Niblock: Good morning, and thanks for your interest in Lowe's. We delivered comparable sales growth of 0.9% for the quarter, driven primarily by an increase in comp average ticket. While prolonged winter weather exerted pressure on our business, our enhanced sales and operations planning process, along with our distribution infrastructure, allowed us to align resources, such as inventory, staffing and marketing, more effectively by climatic zone. In the South and the West, where weather was more favorable, comps were in the mid-single digits. The Northeastern part of the country, which was the most impacted by poor weather conditions during the quarter, experienced negative comps and some of these regions faced additional headwinds from last year's Superstorm Sandy recovery activity.
 For the quarter, 7 of our 12 product categories had positive comps. Overall, indoor products, which accounted for roughly 65% of sales, had solid performance with positive comps of approximately 2%. In fact, in areas of the country where weather was more cooperative, indoor comps were mid-single digits. However, outdoor products declined approximately 1.5% overall.
 We continue to see strength in our ProServices business, which outperformed the company average during the quarter. 
 And I'm pleased to share that our team in Canada delivered double-digit comps in local currency for the fourth consecutive quarter. 
 We remain focused on improving our profitability, even while investing in key capabilities to drive sales growth. For the quarter, gross margin expanded 70 basis points, driven by a number of factors that Bob will discuss. Additionally, we effectively controlled expenses in the quarter and delivered earnings per share of $0.61, which included unfavorable charges related to long-lived asset impairments and favorable impact of a lower tax rate for the quarter, for a net benefit of $0.03 per share. 
 Delivering our commitment to return excess cash to shareholders, in the quarter, we repurchased $850 million of stock and paid $186 million in dividends.
 Moving on to the economic landscape for the remainder of 2014. The backdrop for home improvement industry growth remains positive despite the slow start to spring. Economic forecasts still suggest a moderate improvement in growth for the year. Growth in key indicators, such as employment, income and consumer spending have recently begun to improve from weather-affected levels earlier in the year.
 Although signals from the housing market are mixed, with existing home sales declining in recent months while home values continue to increase, we believe stronger job and income growth and gradually loosening credit conditions indicate that the environment for home improvement spending should remain favorable. These macroeconomic data points align with our first quarter consumer sentiment survey. According to the survey, homeowners increasingly believe that improvements made to their homes will increase their value. And consumers' views around personal finances continue to improve, as homeowners report that they are less likely to decrease home improvement spending.
 With these factors in mind, we believe underlying home improvement industry demand remains intact despite pressures exerted by unfavorable weather in the first quarter. In fact, performance has already improved in May. And continued improvement in the macroeconomic landscape and consumer sentiment, together with our strengthening execution, strategic priorities and keen focus on productivity and flow-through, continue to give us confidence in our business outlook for 2014.
 Before I turn the call over to Mike, I want to highlight a couple of recent organizational changes. At the end of April, Greg Bridgeford retired from Lowe's after providing 32 years of world-class service to the organization. Succeeding Greg as Chief Customer Officer is Mike Jones, who previously served as Chief Merchandising Officer. 
 Mike brings extensive leadership experience, expertise in key product categories and a clear focus on the customer. In his new role, Mike will be responsible for creating experiences that better serve customers and differentiate us from our competitors. He will oversee U.S. home improvement strategy and customer experience design, merchandising and marketing and communications. 
 Filling the Chief Merchandising Officer role is Mike McDermott. Mike has more than 20 years of experience in leading global product management and merchandising teams and driving innovation. Mike McDermott will ensure continued refinement of our improved line review and product reset process now that Value Improvement has been rolled into our base operations, and he will continue the efforts he started as General Merchandising Manager of Building and Maintenance to ensure that we have the products and brands Pro customers demand. 
 Lastly, Mike Mabry has been named U.S. Home Improvement Strategy and Experience Design Executive. He will oversee our efforts to satisfy customers' needs with a seamless omnichannel offering and to differentiate with better customer experiences than any other home improvement provider. Both Mike Mabry and Mike McDermott report to Mike Jones.
 I look forward to the continued contribution from our more than 260,000 employees and like to thank them for their dedication to serving customers and for their efforts to continue building on the momentum established in 2013 as we further transform our business model. 
 Thanks again for your interest, and with that, let me turn the call over to Mike. 
Michael Jones: Thanks, Robert, and good morning, everyone. We executed well during the quarter despite an unexpected prolonged winter in many areas of the country. While we saw reduced demand for many outdoor products, we bolstered performance in our seasonal categories by helping customers dig out from snow and ice, as we positioned truckloads of weather-relevant products at our regional distribution centers, which enabled quick deliveries to our stores in areas hardest hit by winter weather.
 We also offered customers a new outdoor living experience that inspired them to buy patio furniture and accessories even when the weather didn't cooperate in parts of the country. I'll share more of this experience in a few minutes. 
 In rough plumbing and electrical, we generated strong sales by providing ample supplies of products customers needed to repair pipes damaged by the severe cold, as well as prepare their HVAC systems for spring. 
 Moving to interior projects. We drove strong sales in fashion fixtures, where we saw particular strength in light bulbs, driven by LED and other energy-efficient products; and in fashion plumbing products, such as bath faucets, vanities and toilets. We are providing compelling new styles and coordinated sets for customers refreshing or remodeling their bathrooms, and our in-home Project Specialists are simplifying the process by guiding customers through inspiration, design and installation.
 We continue to drive solid performance in kitchen and appliances, where our extensive offering of major brands, along with service advantages of next-day delivery and haul away, and in-house facilitation of repairs and maintenance, provides a best-in-class customer experience.
 We also drove solid performance within tools and hardware. Particularly in power tools, where our lineup of Bosch handheld power tools and accessories performed very well. 
 We are focused this year on 3 priorities to drive further top line growth using our enhanced Sales & Operations Planning process to optimize performance in micro-seasons by market, improving our product and service offering for the Pro customer and building customer experience design capabilities. 
 Through our enhanced Sales & Operations Planning process, we have addressed an opportunity to improve seasonal planning, including the cadence of inventory allocation, staffing, associate training and marketing. This quarter, this process helped us drive ticket growth and support traffic against an unfavorable weather backdrop. 
 The theme for this year's spring plan was Spring is Calling! It didn't call as early as we initially expected, but when it did, we were well prepared. And where it did, we performed well.
 We built plans by climatic zones in order to get the most from our investment in inventory, staffing and marketing. For instance, we staggered our Spring Black Friday campaigns. The earliest rollout occurred in the Deep South in mid-March, and the last rollout took place in the North, just at the beginning of May. All occurred at appropriate times for each geography, when customers planned to clean and prep their outdoor spaces for enjoyment throughout the spring, summer and fall.
 Our second area of focus is to better capitalize on the Pro market, which is growing faster than the consumer market. So we are enhancing our product and service offering for this important customer. While Pros shop across the entire store, the penetration of sales to Pro customers is highest within traditional building and maintenance categories, including lumber and building materials, millwork, rough plumbing and electrical and tools and hardware. So we have grouped these building and maintenance categories together to focus on ensuring we have the types of products and brands Pros demand. For example, the mix of customers shopping electrical wire is roughly 70% Pro and 30% DIY. 
 We are losing share in this core category, particularly with electricians. So within last year's line review, we focused on why and what we needed to change. We identified Pro purchase drivers by obtaining insights from our vendors and surveying our dedicated Pro sales team. We then validated our initial findings with Pro customers. We found that while we have an opportunity to enhance our offering for Pros working on residential jobs, we had an even greater opportunity to enhance our offering for Pros working on commercial jobs. In the end, we added to our selection of wire types, gauges and covers, as well as full rolls of wire and cable to supplement the offering of wires sold by the foot, along with Contractor Pack pricing so Pros could benefit from buying bulk rolls. 
 We also launched our new hand tools from Southwire, a brand electricians know and trust. 
 Of course, winning the Pros business also requires great service in an omnichannel environment to make doing business with us quick and convenient. This quarter, we will relaunch LowesForPros.com, testing it with larger Pro customers before rolling it out more broadly. This relaunch will provide a dedicated platform for Pro customers to purchase online from Lowe's, in addition to aligning Pros to access contract pricing, develop requisition lists and view purchase history. And LowesForPros will be enabled for convenient mobile access. 
 Our third area of focus is developing a process to coordinate the elements of great customer experiences. To do this, our dedicated customer experience design team is working with customers to better understand how they think about specific home improvement projects, from planning, shopping and buying to using and enjoying. And based on these insights, this team is designing an entire experience, from inspiration and product assortment, to purchase and fulfillment.
 That experience must meet 3 critical criteria: it must be desirable to our target customer; it must be feasible, in other words, it must fit within our organization's competencies; and it must be viable, so that we can deliver in a profitable and sustainable way. 
 An example of what can be accomplished with this approach is the outdoor living experience we rolled out to the majority of our stores in advance of our key spring selling season. We started with research and determined that customer shopping for outdoor living products relied mostly on in-store display for inspiration. Further, while selection, price and coordination of patterns and colors are customers' top shopping attribute, brand does not index as high for this product category. Customers are looking for inspiration as they seek to create an extension of their home and to use their outdoor space during more of the year. They want to directly interact with the patio furniture to assess its comfort and to envision using it. And they want the ability to build a collection over time.
 With these attributes in mind, we examined our previous outdoor living area and determined that customers cannot navigate easily through aisles filled with product and that coordinating products, colors and trends was more difficult when they were not close to one another. In short, we were selling isolated products, not helping customers build their outdoor world. We then used these insights to evolve our outdoor living experience. In over 2/3 of our stores, we removed 15 bays of steel racking to create a showroom filled with about 35% more open space, which is made possible by our larger store format. To help customers envision their outdoor space, we are displaying patio sets with coordinating rugs, umbrellas and accessories like pillows, lanterns and planters, along with grills and other outdoor products, just as you would expect in your own backyard.
 Customers can also customize their sets. Special orders can be delivered from distribution centers to stores in 7 days or less and coordination extends to Lowes.com. Customers can find style at every price point. In fact, this area showcases several sets under $500. 
 This new experience better positions Lowe's as a destination for outdoor living and should drive sales to more improved close rate and attachment. In this case, because we have determined brand to be a less important shopping attribute for outdoor living products, we can leverage our direct sourcing capability to buy these high-quality products at competitive costs, which should benefit both sales and gross margin. 
 We are pleased with the performance of the outdoor living experience so far. As the year progresses, this space will provide a flexible stage to display other seasonal products, such as holiday decor. 
 Even while we are building customer experience design capabilities, our merchandising team continues to bring exciting new products to Lowe's customers. For instance, we just recently introduced STAINMASTER PetProtect, an exclusive in the Home Center channel. This carpet is made with a new fiber specifically designed to withstand the toughest pet stains, reduce pet odor and lessen the time required to vacuum pet hair. 
 In February, we became the authorized dealer of Progress Lighting, whose interior lighting collection has the highest market share with Pro customers. 
 We're also excited about our recent rollout of Valspar Reserve, which will be our most technologically advanced paint formulated with a new coloring system to increase durability, scrubbability and adhesion to challenging surfaces, and to provide unparalleled hide and coverage. These are just a few examples of how we continue to work day in and day out with our vendors to bring more innovation and value to customers, even while we work to better capitalize on the Pro market and differentiate through customer experience design.
 Thank you for your interest in Lowe's. I will now turn the call over to Bob. 
Robert Hull: Thanks, Mike, and good morning, everyone. Sales for the first quarter were $13.4 billion, an increase of 2.4% over last year's first quarter. Total transaction count increased 2.9%, while average ticket decreased 0.5% to $64.68. As previously discussed, the Orchard Supply stores had more transactions per square foot, but fewer per store and a lower average ticket than a traditional Lowe's store. So while Orchard aided total sales by approximately 110 basis points and it added roughly 240 basis points to our total transaction growth, it negatively impacted total average ticket growth by approximately 130 basis points. The Orchard stores are considered noncomp, but will be included in our comp sales calculation after the anniversary of the acquisition in the third quarter of 2014.
 Comp sales were up 0.9%, comp average ticket was up  0.8% and comp transactions were up 0.1%. 
 Looking at monthly trends. Comps were essentially flat in February, 2.5% in March and flat in April. While the late Easter holiday did not affect comp sales for the quarter, it did impact the monthly spread. We estimate that normalizing for the timing of Easter holiday, March and April comps would have been 0.8% and 1.9%, respectively. We are encouraged that both ticket and transactions adjusted for the Easter shift improved sequentially each month of the quarter. This trend has continued into May.
 Gross margin for the first quarter was 35.5% of sales, a 70-basis-point increase over last year's first quarter. The increase was driven primarily by Value Improvement and the mix of products sold.
 SG&A for Q1 was 24.76% of sales, which deleveraged 14 basis points. Employee insurance deleveraged 18 points, primarily due to the Affordable Care Act, which drove a 10% increase in enrollment. We incurred long-lived asset impairment expense of $23 million, which resulted in 17 basis points of deleverage. These items were somewhat offset by proprietary credit, which leveraged 23 basis points due to continued growth in the program and lower operating costs. Given the sales shortfall relative to our expectations, we are pleased with our efforts to manage expenses in the quarter.
 Depreciation for the quarter was $373 million, which was 2.78% of sales and deleveraged 9 basis points compared with last year's first quarter as a result of the timing of information technology assets placed in service. For the year, we expect depreciation expense to be essentially flat to last year.
 Earnings before interest and taxes increased 47 basis points to 7.96% of sales. 
 Interest expense, at $124 million for the quarter, deleveraged 7 basis points to last year, as total debt increased approximately $1.1 billion versus last year. 
 Pretax earnings for the quarter were 7.03% of sales. 
 The effective tax rate for the quarter was 33.8% versus 37.8% for Q1 last year. The lower tax rate, which aided earnings per share by $0.04 for the quarter, relates primarily to a settlement of prior year tax matters. 
 Earnings per share of $0.61 for the quarter represents a 24.5% increase over last year's $0.49. The $0.61 per share includes both the $0.04 favorable tax rate impact and the negative $0.01 impairment impact.
 Now to a few items on the balance sheet, starting with assets. Cash and cash equivalents at the end of the quarter was $658 million. Our first quarter inventory balance of $10.5 billion increased $241 million or 2.3% over Q1 last year. The majority of the increase was driven by the addition of the Orchard Supply stores. Inventory turnover is 3.61, an increase of 4 basis points over Q1 2013. Asset turnover increased 14 basis points to 1.59x. 
 Moving on to the liabilities section of the balance sheet. Accounts payable of $7.1 billion represents a slight increase over Q1 last year. The increase in accounts payable is lower than the 2.3% increase in inventory due to the timing of purchases in the quarter versus last year.
 At the end of the quarter, lease-adjusted debt-to-EBITDAR was 2.14x. Return on invested capital increased 249 basis points for the quarter to 12.02%. 
 Now looking at the statement of cash flows. Cash flow from operations was $2 billion. Capital expenditures were $194 million, resulting in free cash flow of $1.8 billion. 
 In the quarter, we repurchased 17.9 million shares for $850 million in the open market. We have approximately $5.4 billion remaining under share repurchase authorization. The remaining $60 million of the $910 million shown on the statement of cash flows as repurchase of common stock relates to shares repurchased from employees to satisfy statutory tax withholding liabilities, as well as the timing of share repurchase settlement across quarters. 
 Looking ahead, here's our business outlook. We believe that we'll recover the majority of the Q1 sales shortfall. As a result, we have not adjusted our outlook for the year -- our sales outlook for the year. We expect a total sales increase of approximately 5%, driven by a comp sales increase of 4% and the opening of approximately 10 big-box stores and 5 Orchard Supply locations. We're anticipating an EBIT increase of approximately 65 basis points and expect the improvement will come from both gross margin expansion and SG&A leverage.
 After reflecting the favorable tax settlement from this quarter, the effective tax rate is expected to be 37.2% for the year. Given the lower tax rate and Q1 impairment expense, we expect earnings per share of approximately $2.63 for the year, versus our prior outlook of $2.60, which represents an increase of 22.9% over 2013. We're forecasting cash flows from operations of approximately $4.1 billion. Our capital plan for 2014 is approximately $1.2 billion. This results in estimated free cash flow of $2.9 billion for the year. We expect to issue incremental debt during the year as we manage to the 2.25 lease-adjusted debt-to-EBITDAR target. Our guidance assumes approximately $3.4 billion in share repurchases for 2014, spread roughly evenly across the 4 quarters. 
 Carmen, we're now ready for questions. 
Operator: [Operator Instructions] Your first question will come from the line of Matthew Fassler with Goldman Sachs. 
Matthew Fassler: My first question relates to sales and my second question or follow-up, if you will, relates to SG&A. Would it be possible for you, either to quantify the sales that you think you lost to the weather in Q1 or talk about the first half versus second half sales relationship that you would expect for 2014? 
Robert Hull: So Matt, we think the weather impacted our Q1 sales by approximately 150 basis points, that about 35% of our sales are outdoor or mix related. So it had a pretty good impact on Q1. As we said in our prepared comments, we do expect to recover the majority of that in the second quarter. 
Matthew Fassler: Okay. And as we think about the base that you would add that to, should we think about the run rate that you have in the nonweather-impacted markets and then add 1.5 points to that, or is that too simplistic of a calculation? 
Robert Hull: Probably too simplistic, since we've got tougher Q2 compares. As we indicated, our May is off to a good start. We're running at about mid-single-digit comp, driven by good balance of ticket and traffic. So we feel good about the start to Q2 and our ability to recover lost sales from Q1. 
Matthew Fassler: Great. And then on expenses, I just want to refer back to some of the color that I think you gave us after Q4, about a couple of expense items that you didn't reference. I think you had originally expected a bonus from retirement to deleverage for you a bit. You had also called out a property tax -- I'm sorry, store payroll item, in terms of significant leverage. Can you talk about what impact bonus accruals had on SG&A? And if it's possible to quantify the labor levers that you had, it would be very helpful. 
Robert Hull: So Matt, I think a couple of items we talked about were risk insurance would be unfavorable because of a unfavorable -- excuse me, to a favorable adjustment we had in Q1 '13. We actually experienced a favorable adjustment this quarter as well. But that was somewhat offset by the impairment, higher utilities and snow removal costs associated with the weather. We did think that bonus was going to leverage -- excuse me, deleverage in the quarter. It actually provided some leverage. If you think about our experience in the first quarter, we missed our sales and earnings plan. Our bonus plans are predicated on operating profitability, so the tax pickup had no impact on the bonus accruals, so we did leverage bonuses by about 9 basis points in the quarter. 
Operator: And your next question is from the line of David Strasser with Janney Capital Markets. 
David Strasser: Two questions. First of all, on the balance sheet, you had an impairment charge that you tend to take them usually in Q4. You took it in Q1 of this year. Can you just give a little background on what -- where the impairment came from and sort of why, the timing of it? 
Robert Hull: Sure. So we've got a process to evaluate the profitability and viability of store locations. That process occurs throughout the course of the year. There's a footnote in our 10-K that explains the process in some detail as we take a look at cash flows for the rolling 12 months to evaluate. There's no magic about what quarter that a trigger occurs and when impairment occurs. It does relate to 2 operating locations that gave rise to the $23 million charge in Q1. 
David Strasser: Fair. Back in February, you had -- Bob, you had made a comment that Q1 would be the best comp of the year. Obviously, the weather kind of impacted that. You're -- as you kind of -- I'm asking Matt's question a little bit differently, but as you kind of look at for the first half of the year, how substantial of a recovery do you need to sustain in Q2 to hit your first half estimate -- to hit your first half sales estimates? I mean, do you -- can you see a deceleration as that tough comp continues -- the tough comparison from last year continues through Q2 and still get to the -- your first half plan? Or is it -- or is that kind of mid-single that you talked about a kind of number that you sort of need to hit? 
Robert Hull: Yes. So on the Q4 call, we talked about Q1 being our -- coming into the year, we thought that Q1 would be our best performing comp, Q2 would be our lowest performing comp, really based on compares relative to 2013. Obviously, weather is going to push some sales from Q1 to Q2. Q2 looks like it's going to be our highest comping quarter at this point in time, even with tough compares. But having said that, the band between comp for Q2, 3 and 4 is fairly narrow. 
Operator: Your next question is from the line of Chris Horvers with JPMorgan. 
Christopher Horvers: I was curious. Your quarter ends on Sunday, and Home Depot's quarter ends on Friday. So we were out in the stores that weekend, and it was a pretty nice weekend on the West, on the East Coast. So do you think that was some of the delta in the comp performance, because you probably had a really not a great first week in the February weather-wise, and then you had -- you missed the -- what looked like, on the East Coast and Northeast, a pretty nice weekend weather-wise in the beginning of May? 
Robert Niblock: Yes, Chris. This is Robert. Actually, what you said was that we end on Friday and they end on Sunday. So maybe that's what you meant, but I think you stated it backwards. But yes, certainly, as you think about the extent of the conversation that we've had so far today, weather was very difficult in the quarter, certainly pretty widespread. We've actually looked at the numbers and said, if we had adjusted and really looked at just the days that would have picked up that last weekend and dropped out the first weekend of the quarter, it would have made a difference on our first quarter comps of about 50 basis points favorable. 
Christopher Horvers: Okay, about 50 basis points. And then 2 expense questions. One, I might have missed it, but did you say anything about any negative impact in gross margin from proprietary credit? And then also, on D&A, when you say flat year-over-year, is that a -- that's a -- I assume that's a dollar number? 
Robert Hull: So the -- there was no negative impact, no significant impact to gross margin from the proprietary credit program and the 5% off val prop. As it relates to depreciation, we do expect dollars to be essentially flat to last year, therefore, driving some leverage that contributes to the EBIT increase of 65 basis points for the year. 
Operator: And your next question is from the line of Budd Bugatch with Raymond James. 
Budd Bugatch: Just a couple of quick ones. Pros -- Pro sales penetration in the quarter, where was it as a percentage of sales and where do think it will wind up for the year, with your new Pro programs? 
Rick Damron: Budd, this is Rick. We look at Pro as now approximately 30% of our total mix of business, and we continue to work on that daily. The thing that we've really looked at Pro, when you look at Q1, it was roughly 3x our comp number for the company. And I think we're getting some credit for the continued progress of the initiative. When you look at the Pros, they're reacting very strongly to our structure that we implemented last year of in-store specialists who really manage and handle the customers when they come inside the stores; our market account specialists, which manage the larger accounts within the marketplace; and then our national accounts program, which manages those accounts that do business across many stores across the country. That process and that program is working extremely well. Keep in mind, the investments that we made in inventory as well as the val prop proprietary credit discounts that we offer them to give them additional incentives, as well as our normal Contractor Pack pricing, which Mike spoke about earlier, as well as our other programs there to help continue to provide great value for them. We see the relaunch of LowesForPros being a significant opportunity to continue to drive share and increase penetration with that customer. As Mike said, we'll begin to test that with some customers in Q2, with the expected full launch to be in Q3 from that program as well. So we feel very good about where we are from a Pro standpoint currently. We believe they have reacted very well to our initiatives and our programs that were put in place over the last 18 months, and we continue to see that to progress into this quarter. And Mike, I'll turn it over to you, let you talk about some of the initiatives from a merchandising standpoint we're working on, from a brand and assortment standpoint. 
Michael Jones: Absolutely. The team made good progress on being more relative with Pros inventory depth, certainly critical localization, we continue to make progress on, as well as on brand. We continue to work to our brand portfolio to ensure that we have the right brands that Pros need. So we feel very good that our holistic approach of separating out those divisions that lean very heavy towards categories that have a heavy penetration of Pro. I spoke about it earlier, lumber and building material, tools, hardware, rough electric, rough plumbing, millwork, that putting them together under a single leader has helped us put more focus there. And the team continues to make progress on those areas that are critical for Pros. 
Operator: Your next question is from the line of Dan Binder with Jefferies. 
Daniel Binder: So I had a couple of questions. First was on labor training and kind of where you are with labor add-back and training. I think last fall, you had thought you needed to maybe add some more training hours, so maybe an update on that. And then on gross margin, as you know, your main competitor has essentially put a cap on where they want to see gross margin go for competitive reasons. And I'm curious what your point of view is on that as it pertains to Lowe's and where you think your gross margin should be. 
Rick Damron: Dan, this is Rick. I'll take the first part of that question, and then turn it over to Mike to answer the question around margin. From a labor perspective, we feel very good about where we were and what the operations teams with Dennis Knowles was able to accomplish in the quarter as we continue to look at payroll to provide positive leverage during the quarter during a very difficult environment from a weather perspective. It was an outstanding job on their part. And we feel comfortable that the labor that we added back in the stores last year as part of our weekday teams helped us fill that void that we had during the peak selling times of the weekdays, and we think there is no need to continue to add any incremental labor back into that environment. So currently, what we're looking at, of course, is as sales improve, we continue to add labor to match sales rate. That's the way our staffing programs and plans work. And our part-time mix gives us the flexibility to flex up and flex down to meet sales trends throughout the quarter, and that's what really helped us continue to provide solid leverage during Q1. As it relates to training, we spoke about training in Q3 from a perspective of making sure that our investment of those weekday team members was as solid as we can get, and we realized there were some training gaps there. We made some adjustments to the program to help solve that issue by placing them into specific departments versus allowing them to work in multiple departments, therefore able to provide them much better training to assist the customers in those departments. We feel good about that. The other aspect that we talk about as we continue to migrate to becoming an omnichannel retailer is to continue to develop skill sets of our employees in the stores. And we've invested a substantial amount of training time last year, making sure that they were able to address our customers when they came into the stores looking at the type of trips they were into shop, whether that be the customer is in on a specific mission trip, whether it was a project trip, or whether they were in the store seeking inspiration. We did substantial training with every associate on being able to recognize those and being able to adapt to the customer and what they wanted to focus on. So we continue to work on training. It continues to be a significant focus as we move into 2014, but we feel very good about our programs from last year, the investments we made and the results they provided. So Mike, I'll turn it over to you to answer the question on margin. 
Michael Jones: Sure, absolutely. Our 2014 outlook talks to approaching 35%, but we don't think there's a hard cap on gross margin. Let me talk about Value Improvement, because that's the process that we use to really manage how we do our line reviews, which is a huge contributor to gross margin. We have a very balanced approach with our vendor partners. We always look at growth for both us and our partners. Innovation is central in those discussions. We look at value for customers. We see these engagement opportunities as an opportunity to build partnership. And of course, cost is always a part of that discussion. But when you think about gross margin, you also got to think about line design as it impacts mix, and you got to think about the ability to find efficiencies with both us and our vendor partners so that we can drive out cost. So we think all this comes together to allow us to go after improved margin. And it's working, and it's working very well along all those fronts. So I don't know that it is a hard cap. We are continuing to drive mix, look for efficiencies and -- while improving our partnerships and going after innovation, and we're doing it in an environment and in a way that's allowing us to expand margin. 
Rick Damron: Yes, Dan, this is Rick. Just to expand on one other key point, and that's related to our Sales & Operation Planning process. One of the things that we identified as we continue to look, over the last couple of years, was our ability to attach and how do we really continue to drive that through our employees and how we merchandise our stores and get our stores prepared for events. And our Sales & Operations Planning process helps us really understand the attachment to go along with the core item, which ultimately helps us improve the basket, therefore helping us to improve the overall margin mix within the basket as well. 
Robert Niblock: Dan, this is Robert. Just to sum it up, we -- as we go to market, we will continue to be priced competitively. As Rick spoke of, it's helping, mix and margin, with attachment and the right items there. As Mike said, we've done a lot of work the past couple of years going through our Value Improvement line review process. If you recall, during that period of time, there was some disruption where we had excess product that we had to clear and mark down, and we refer [ph] to cycle through the majority of that now, so a little bit cleaner numbers are coming forward. But just so -- the underpinning for all of that is we will continue to be competitive on price in the marketplace across all channels that we compete in, so... 
Operator: Your next question is from the line of Dennis McGill with Zelman & Associates. 
Dennis McGill: You touched on a couple of regions, I think you mentioned the Southwest and Northeast. I was just wondering, how many regions do you have? And can you just maybe talk across all of them, sort of what you saw relative to the company, like comp in the quarter? 
Rick Damron: Yes, Dennis, this is Rick. We have 3 operating divisions, and that's what you heard us speak about when we talked about the Southern markets, the West and the Northeast. Within those, we have 14 regions encompassing a mix of each of those. What we saw was, as Bob highlighted in his comments, where we had solid weather or good weather, more normalized, we saw solid mid-single digit comps around each of those geo-zones, as we refer to them, Deep South and South being particularly strong. The central parts of the country performed well, particularly as we got into the latter half of the quarter. The North and the upper North was where we saw a greater amount of weather impact, and where we saw the negative comps from an overall sales environment as a result. So we feel very good in those markets from -- for the quarter from the Deep South, Southern and Central areas. The North and the upper North is what put pressure on the overall performance. 
Dennis McGill: Okay. So at the highest level, the South and West was at mid-single and the Northeast was down at the 3 divisions? 
Rick Damron: That's correct. 
Robert Niblock: Yes, and Dennis, basically, we look -- this is Robert -- we look inside the South and the West, every region in those had positive comps. When you get up to the North, the division, every region within that had negative comps. So it really does kind of [indiscernible] that we saw during the quarter, so... 
Dennis McGill: Okay, great. And then second question, just on margins. I think you highlighted the Value Improvement, as well as mix, on gross margin in the quarter. Can you separate those 2 and just maybe talk to, on the outlook, how those 2 things would trend, particularly here in the second quarter? 
Robert Hull: So of the 70 basis points improvement, Value Improvement was 45 basis points and mix was 20. As we cycle last year's Value Improvement activity, we would expect that benefit to diminish as the year progresses. The mix impact was primarily a result of selling less seasonal goods in the first quarter. We would expect that to flip in the second quarter, as we recover lost sales. It should be a slight drag in Q2 and then revert back to being flattish or neutral in the second half of the year. 
Operator: Your next question is from the line of Kate McShane with Citi Research. 
Kate McShane: I just wanted to know if we could have a little bit more detail on any changes we can expect from the changes in the merchandising team. Could we see further refinement to your merchandising strategy, and how disruptive could this be? And then just with regards to some of the refinement strategy you continue to make at the store, was there anything during the quarter that you could highlight that was particularly beneficial? 
Michael Jones: Sure, absolutely. This is Mike Jones. We don't anticipate any radical changes in our merchandising strategy. Our initiatives are very well vetted. We believe they will continue to create value for us. We love the enhanced partnerships that we have with our vendor partners. We're extremely close with our vendor partners. Our team has a very strong bench, and all of our leadership was united in our development of our functional plans. So there's no anticipated change at all. And we're confident that the changes that we've made with some of these promotions of some of our talent that's on our bench will be well received by our vendor partnerships. So we're very comfortable there. I spoke of the outdoor living set as one of the combined efforts between our merchandising team and our customer experience design team, which in particular, in areas that had pretty good weather, did extremely well, extremely well. So excited about that. As you look at the divisions that performed above the company average, you'll notice that our fashion fixtures is one of them. And if you walk our stores, you'll see a much more enhanced display of the way we do our bath sets, which is another example of how our merchandising team is working with our vendor partners to have the right products, as well as the influence of our customer experience design team as well. So we're very excited about our merchandising initiatives, we've very excited about our partnerships and we don't anticipate any dramatic changes. 
Robert Niblock: And in -- Kate, you also had a question about, was it any store refinements? I'm sorry, I didn't really catch what you -- what the intent of your question was? 
Kate McShane: Just as you continue to refine some of your merchandising strategies, were there any wins during the quarter that maybe were surprising to the upside or that were better-than-expected? 
Michael Jones: Yes, the 2 I would note would be the success that we had with our fashion fixtures, as well as our seasonal set that I spoke of. 
Operator: Your next question is from the line of Greg Melich with ISI Group. 
Gregory Melich: I have a couple of questions. First on the traffic and ticket mix. I think at the beginning of the year, you guys said about 2/3 of the comp will be ticket and 1/3 traffic. Given how the first quarter played out, do you expect that to change for the full year? And as May has recovered, is it the -- how did the traffic and ticket breakdown look like? 
Robert Hull: So as we think about our seasonal business, lawn and garden in particular is a huge driver of transactions in traffic for us. That was weak in the first quarter. That is beginning to recover in the second quarter, so that gave rise to the -- an out-of-balance performance, with almost all the comp being driven by ticket in Q1. As we get that traffic in lawn and garden business back in Q2, that is more balanced, almost 50-50 thus far in the second quarter. We think for the year, the 2/3, 1/3 ticket and traffic still holds up. 
Gregory Melich: That's great, helpful. And then on dot-com, you mentioned in several of the answers, how it's an initiative with the Pro, with the consumer and with some of the labor initiatives you have in specialist departments. Could you give us an update on where you are in that and in terms of percentage of sales, or ship-to-store or other things you got going on? 
Robert Niblock: Yes. Overall -- I'll start and have others jump in. Greg, overall, our dot-com business was up a little more than 25% in the quarter, so we're pleased with what we see there. Obviously, we're excited about adding LowesForPros in the second quarter, will really give the Pro a dedicated website to be able to transact on, with the additional functionality that Mike spoke of in his comments. We're still continuing to see about 50% of what is bought online is actually picked up in store. So the customer is using it in a -- it's really our whole strategy of being there to meet their needs whenever and wherever they choose to engage. And then on top of that, there's about another 20% that is delivered from the store to the consumers' homes. If you think about it, about 70% of what we sell online is fulfilled through that store channel. So it's -- as I said, being there whenever and wherever the customer chooses to engage. And we're happy to ship it to them, have it available in store, whatever. And we're continuing to add functionality, continuing to add the necessary products and refine the offering that we have now. Mike, I don't know if you have anything else on...? 
Michael Jones: No, I think you summarized it well. The one thing I would add is that we do have very strong dot-com businesses in some of the seasonal areas, some of the OPE, where we tend to index very highly. And as we look at the first quarter, we can see that some of the divisions that were below the company average have a pretty big footprint on our dot-com sales. And so that was a little bit of a headwind that we expect to see pick back up as we go into the second quarter. But all told, we feel very comfortable with our continued build-out of our omnichannel environment. 
Operator: And your final question will come from the line of Mike Baker with Deutsche Bank. 
Michael Baker: Just a quick one to start. You said the weather impacted you by 150 basis points. If we add that back, then you would have comped at 2.4% in the first quarter, which still would be below your plan. Your plan was for the first quarter to be the highest comp of the year, which may be, well certainly above 4%. So what else missed the comp line in the first quarter? 
Robert Hull: So we've had -- we were expecting some level of deflation in the quarter. It was a little bit higher than we anticipated. The -- as we think about the estimates of comp impact, they're not precise. As Rick and Robert took you through the geography, strong performance in West and South, really challenged performance in the Northeast. So we do feel like we can recover the lost sales. We do feel like there's other activity, some of the initiatives that Mike spoke of regarding the experience design. Rick and Mike both talked to you about some of the Pro initiatives that's going to gain traction throughout the course of the year. So we feel that we'll recover the lost sales and do have other initiatives that will drive the 4% comp for the year. And the good news is, we're seeing evidence of that thus far in May. 
Michael Baker: Okay. So to follow up on that, how much did deflation hurt, and does that get better? And I guess, maybe my words instead of yours, but you said 150 basis points. I guess, what we should interpret that is that's not that precise. It could -- the weather could have been more or less than that. 
Robert Hull: Right. So we estimate it's 150 basis points. However, the West and South comped roughly positive 4%. The Northeast comped roughly negative 5%. So that tells you that's a 900-basis-point spread, so... 
Michael Baker: And what percentage of your stores are in the Northern region? 
Robert Hull: I'm sorry? 
Michael Baker: What percent of the stores are in the Northern region? Is it roughly 1/3, 1/3, 1/3? 
Robert Hull: Probably 30% of our sales. So we've got a consistent methodology to calculate weather impact. That hasn't changed. But if you take a look at just the division performance, you can see that weather could potentially be bigger than that. The deflation impact was 35 basis points. We see improvement in comparisons relative to lumber, so we see that headwind going away as the year progresses. 
Robert Niblock: Thanks, and as always, thanks for your continued interest in Lowe's. We look forward to speaking with you again when we report our second quarter 2014 results on Wednesday, August 20. Have a great day. 
Operator: Thank you for participating in today's Lowe's conference. You may now disconnect.